Operator: Ladies and gentlemen, thank you for standing by for Autohome’s Fourth Quarter and Full Year 2013 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. (Operator Instructions) It is now my pleasure to introduce your host Martin Reidy of FTI Consulting. Mr. Reidy, you may begin.
Martin Reidy: Thank you operator. Hello everyone and welcome to Autohome’s fourth quarter and full year 2013 earnings conference call. Earlier today Autohome distributed its earnings press release and you can find a copy on the company’s website at www.autohome.com.cn. On today’s call we have Mr. James Qin, Autohome’s Chief Executive Officer and Mr. Nicholas Chong Autohome’s Chief Financial Officer. After their prepared remarks, James and Nicholas will be available to answer your questions. Before we begin please note that the discussion today will contain forward looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. Potential risks and uncertainties include but are not limited to those outlined in our public filings with the Securities and Exchange Commission. Autohome does not undertake any obligation to update any forward looking statements except as required under applicable law. The earnings press release in this call also includes discussions of certain unaudited non-GAAP financial measures. The press release contains a reconciliation of the non-GAAP measures to the most directly comparable GAAP measures and is available on our IR website. As a reminder, this conference call is being recorded. In addition, a webcast of the conference call will be available on Autohome’s IR website. I will now turn the call over to Autohome’s Chief Executive Officer, Mr. James Qin.
James Qin: Thank you, Martin and hello everyone. I am delighted to welcome you all to Autohome’s fourth earnings conference call as a U.S. publicly listed company. As you know on December 11, 2013, we completed our IPO and started trading at NYSE this was a very important milestone in Autohome’s history and leadership tradition in the industry and also allow us to fully leverage the strong market opportunity ahead of us. We’re very pleased to welcome many of you as shareholders in our business and we look forward to speaking with you along this journey (Ph). Today it’s also exciting for us as we will share our very strong results for the fourth quarter and full year 2013. My colleague Nicholas will go into more details. But in summary, we delivered a very strong overall performance for both the quarter and ending periods, which shows Autohome’s leading position is helping us further capturing significant market share and drive consistently solid results. So here are a few highlights; annual total net revenue increased approximately 66% to RMB1,216.5 million. Annual net income increased approximately 114% to RMB456.2 million. Annual cash provided by operating activities increased approximately 113% to RMB593.9 million. For the full year, autohome.com.cn ranked first among China’s auto website and auto channels of Internet portals in terms of daily average users, average time spend per user per day and average daily page views in 2013 based on data released by iResearch. In the same period, autohome.com.cn accounted for approximately 47% of the total time that China's internet users spent viewing online automotive information, more than four times that of our closest competitor, according to the iResearch. And as we expanded our mobile services, the number of TAU while mobile browsers and TAU mobile applications amounted to 1.8 million and 1.4 million respectively in December 2013, representing more than 30% increase from September 2013. And while we do want to get to the full summary of our financial results as this is our first earnings call for an IPO I think it is important to give you a high level overview of Autohome and the market opportunity we see. So who is Autohome? To give you a brief overview, Autohome is the leading online destination for auto consumers in China and our mission is to engage, educate and inform auto consumers with everything they need to know about buying, owning and selling cars. In short, we believe our comprehensive, interactive and independent confidence to auto buyers and owners through our two websites, autohome.com.cn and che168.com. Users have accessed our services through PC browsers, mobile browsers as well as mobile applications. Now let me explain how we’re different from our peers and how this is driving business results. I will take a few moment to explain how our unique user experience and high quality innovative content drive traffic that secure user loyalty. We focus on producing the very fast auto-related content such as articles, photos and videos. This content allow us to grow traffic organically, rather than to do traffic acquisition. And as a result we also have one of the largest and most engaged user communities of automobile consumers in China. Because of the size of our user base and the profile of the people coming to our site, we’ve gained unraveled access to active car buyers. Therefore, dealers and automakers alike are very attracted to Autohome. We provide them with a superior online platform, when we’re shifting we’re extending an attention through online platforms. Let me talk here to bring a real-time example for our unique strength bringing value to both dealers and auto users. On November 11, 2013 Autohome successfully conducted a major and very successful online sales promotion activity to market, the "Double 11 Day," a popular online shopping festival in China. It’s a bit like Black Friday in the States. The company recorded orders from online auto consumers for about 15,000 vehicles totaling approximately RMB2.2 billion. Such an event allows us to clearly showcase our transaction value and regeneration capabilities, and produce tangible car sales results for dealers. While some other internet players also conducted a Double 11 Day events. How we’re different is that we filter the genuine buyers by requiring them to pay the deposit of RMB499 in advance and we also confirmed the genuine sales results by requesting the buyers to submit a purchase receipt. Let me also give you some insights into why we have covenants in the future, and believe that there is a lot-lot way of growth ahead of us. In short, we are right at the converters of industry changing trends in China, all those, an online advertising industry and we believe this will fuel record growth. China now is not only the largest new car market in the world but also has the largest internet population. Consumers in China mostly rely on the Internet for auto related information than any other medium, so that Internet has become the primary source of information for auto consumers. Our recent news and survey shows that roughly 92% of auto consumers usually access internet to consume auto information. At the same time according to iResearch less than 20% of the auto advertising is being allocated to online media. Comparing this to the U.S., where also online hours spending is roughly 40% of total auto spending and you see the China’s online auto market still has great growth potential. I hope this overview gives you a good sense of who Autohome is and why we believe we’re unique and differentiated player in the market. We believe the monetization of both media and transaction value are still in the early stages and we therefore expect there is a lot of runway for continued growth. The next question then is what is the plan to maximize opportunity? Let me now take a few moments to outline our growth strategy. As we move into 2014, we will pursue our full form of growth strategy to strengthen our leading position. First, we will increase our share of wallet from automakers. We will do this by doing more for this - do more for these partners to get them even closer to potential buyers. For instance, we will extend our advertising solutions to up sell and pro sell our services, actually cater strategies for advertising customer at different tiers and so on. Second, we will extend and monetize auto dealer network. We’re aiming to expand our dealer network by increasing our regional footprint and further monetizing these relationships and enhancing our service offerings. We have been expanding our dealer network by increasing penetration in existing geographic markets as well as entering into new ones, particularly the second-tier and third tier cities. We have also increased our R&D spent to provide more value-added services. In 2013, Autohome provided dealer subscription services to 10,617 dealer subscribers, up from 5,052 in 2012, and we believe this is only the beginning of our growth. Third, we will continue to attract and retain automobile consumers and enhance already strong user engagements by growing our mobile product offerings and leveraging user generally contacts to improve the user experience. We will invest in innovation so that we’re keeping pace with the changing habits of the consumers and delivering them a unique and easy experience that they expect and rely on from Autohome. We will introduce new mobile technologies to enhance and extend our mobile intense services. Fourth, we will build out our offering in aftermarket and used cars sectors. Importantly, these segments are those still in early stage in China. However, we believe this area will be very important over the long run. We therefore have begun to invest and now putting resources against this so we can have the advantage of being an early mover in these categories and leverage the emerging opportunities. That in summary is our current strategy to maximize opportunity before us. On that note, I will turn the call over to Nicholas, who will provide financial details for the fourth quarter and the full year. Following Nicholas’ remarks, I’ll speak a bit about our expectations for the fourth quarter of 2014 and then we’ll take your questions. Nicholas.
 Nicholas Chong: Thank you James. Hello everyone and once again thank you for joining us today. As James talked on earlier Autohome is now the clear market leader in our space in China across every key metrics in terms of number of users, time spent on site, brand recognitions and user engagement. This leadership is clearly reflected in our financial results for the fourth quarter and full year, which highlight our consistent track record of profitable growth and strong cash flow generation. Before I walk through the specific for both the quarter and the year, I would like to draw your attention to the key metrics we focus on and what we have viewed as the three consistently strong measurement of our strong performance, both historically and most recently in the fourth quarter and full year 2013. First, we have displayed rapid revenue growth via diversified revenue mix. During the fourth quarter, in the year, we drove robust top line growth. Our net revenue increased 74.1% year-over-year in the fourth quarter and the 66.1% in 2013 versus 2012. We’re consistently able to expand our strong and growing customer base in each brand new segment and increase our average revenue per customer. Second, we’ve delivered very strong profitability. Our net income growth outperformed our revenue growth, which highlight our ability to drive the top line and also a stretch within operating leverage due to our controllable cost and efficient expense base. Net income increased 183.2% year-over-year in the fourth quarter and 114.3% in 2013 versus 2012. Thus, we continued to generate significant cash allowing us to maintain a strong cash balance and also on our future growth strategies, cash provided by operating activities increased 107.6% year-over-year for the fourth quarter and 112.5% for the full year 2013 versus 2012. Again this is where we focus and how we measure our success. Now I will move to detailed discussions of the financial results for both the fourth quarter and fiscal year. Note that I will reference in RMB only in this discussion. First the fourth quarter financial results; net revenue for the fourth quarter increased 74.1% to RMB386 million from RMB221.8 million in the corresponding period in 2012. The increase was due to increases in both the company’s advertising services revenue and dealer subscription services revenue. Cost of revenue for the fourth quarter increased 78.6% to RMB87.8 million from RMB49.2 million in the corresponding period in 2012. Primarily due to increases in content related costs, value added taxes and surcharges, bandwidth and IDC costs, and depreciation. The cost of revenue included share-based compensation expense of RMB1.6 million compared to RMB1.6 million in the corresponding period in 2012. Operating expense for the fourth quarter increased 61.1% to RMB148.7 million from RMB92.3 million in the corresponding period in 2012, mainly due to increases in sales and marketing expenses and product development expenses. As a percentage of net revenues, operating expenses for the fourth quarter decreased to 38.5% from 41.6% in the corresponding period in 2012, reflecting leverage on higher revenues. Operating profit for the fourth quarter increased 86.2% to RMB149.5 million from RMB80.3 million in the corresponding period in 2012. Net income for the fourth quarter increased 183.2% to RMB122.7 million from RMB43.3 million in the corresponding period in 2012, primarily due to the increase in the income before income taxes in 2013 and the one-time income tax expense due to the accrued withholding tax of RMB26.6 million on dividends in the corresponding period in 2012. Basic and diluted earnings per share and per ADS for the fourth quarter of 2013 were RMB1.23 and RMB1.16 respectively, compared to basic and diluted EPS in the corresponding period in 2012 of RMB0.43 and RMB0.43, respectively. Adjusted net income, which is defined as net income excluding share-based compensation expenses and amortization expenses of intangible assets related to acquisitions, increased 150.1% for the fourth quarter to RMB132.3 million from RMB52.9 million in the corresponding period in 2012. Non-GAAP basic and diluted EPS for the fourth quarter of 2013 were RMB1.33 and RMB1.25 respectively, compared to Non-GAAP basic and diluted EPS in the corresponding period in 2012 of RMB0.53 and RMB0.53, respectively. Moving to full year financial results. Net revenue for the full year increased 66.1% to RMB1,216.5 million compared to RMB732.5 million in 2012. The increase was due to increases in both the Company's advertising services revenue and dealer subscription services revenue. Cost of revenue for the full year increased 41.15% to RMB252.2 million compared to RMB183.2 million in 2012. The increase was primarily due to increases in value-added taxes and surcharges, content related cost, bandwidth and IDC cost and depreciation. The cost of revenue included share-based compensation expense of RMB6.5 million compared to RMB6.6 million in 2012. Operating expenses for the full year increased 60% to RMB489.4 million compared to RMB255.8 million in 2012, due to increases in sales and marketing expenses and product development expenses. As a percentage of net revenue, operating expenses for the full year decreased to 33.7% from 34.9% respectively in 2012, reflecting leverage on higher revenues. Operating profits for the full year increased 85.9% to RMB254.9 million compared to RMB298.5 million in 2012. Net income for the full year increased 114.3% to RMB456.2 million from RMB212.9 million in 2012, 2012. Basic and diluted EPS in 2013 were RMB4.57 and RMB4.37 respectively, compared to basic and diluted EPS in 2012 of RMB2.13 and RMB2.12 respectively. Adjusted net income increased 93.5% in 2013 to RMB487.2 million from RMB251.8 million in 2012. Non-GAAP basic and diluted EPS in 2013 were RMB4.88 and RMB4.67 respectively compared to Non-GAAP basic and diluted EPS in the corresponding period in 2012 of RMB2.52 and RMB2.50 respectively. Balance sheet and cash flow information as of December 31, 2013, the Company had cash and cash equivalent of RMB1,138.6 million. Cash flow from operating activities for the full year of 2013 were RMB593.9 million compared to RMB279.5 million in 2012. This concludes my financial review, now I would like to turn the call back to James to discuss our near-term outlook.
James Qin: Thank you, Nicholas. As Nicholas has just highlighted 2013 was a very strong year and it forms a solid foundation on which to build. Looking ahead, we are optimistic about general trends in our own business and are confident that we are well positioned to benefit from continued growth in the auto and internet industries in China. With respect to our near-term outlook, in the first quarter of fiscal 2014, we currently expect to generate net revenue in the range of RMB318 million that is US$52.5 million to RMB332 million in U.S. dollar 54.8 million, representing a 55.6% to 62.5% year-over-year increase. We believe it is also very important to give some context for seasonality and how our fiscal year typically unfold from an official and revenue standpoint. In terms of contribution to full year result, our first quarter is often small than subsequent periods. A gradual lift in that respect normally build as quarter progress with the business in the second half being stronger than the first half of the year. Of course I must mention that these comments on our outlook reflect our current and preliminary view of a market and operating conditions which is subject to change. Before we move to questions, I think it’s worth taking a moment to summarize a few takeaways from today as we have covered with you during the first earnings call. In short, 2013 was a fruitful year for Autohome. We ended this year in a clear industry leadership position as highlighted by the fact that we are number one across all key metrics both on PC and mobile platforms in terms of number of users time spent on site, brand recognition and user engagement so on so forth. We are excited about the future given that we are well positioned to benefit from the convergence of strong market trends and the fact that we have a sound growth strategy in place. And lastly, we are delighted to start our journey as a public company and look forward to working hard to deliver significant shareholder value over time. This concludes our prepared remarks and now we would like to take any questions you may have.
Operator: We will now begin the question-and-answer session. (Operator Instructions) Your first question comes from the line of Vivian Hao from Deutsche Bank. Please go ahead.
Vivian Hao - Deutsche Bank: Hi. Thank you for taking my question, I’ve got two questions here. First one, what is our strategy to better engage and improve traction from auto dealers? And for the second question could you please provide us some color on overall China auto sector advertising trend year-to-date? Thank you.
James Qin: Okay, so the second question is the trend of China’s auto online advertising market I didn’t get the very clear idea on the first question, the engagement of auto dealers?
Vivian Hao - Deutsche Bank: Yes. What is our plan to improve the traction from auto dealers and also better engage them on our platform?
James Qin: Attraction of auto dealers and how to engage them, okay, I’ll take it quick. I’ll answer the second question first so from what we have seen so far we believe our current China’s auto online advertising market in 2014 probably will be as good as 2013 from our point of view and that is the total online advertising. So on the first part of your question is how and at Autohome were going to attract auto dealers as well as how to engage them. I think here is from my point of view is to really communicate the value proposition of our dealer subscription business as well as our dealer advertising business make sure those dealers understand the value we create for them and use the more data analytics to illustrate our result in term of their investment. And so that is to make them understand the value proposition. I think in terms of engaging our go to market strategy as we have done in the past is we really leveraged our relationship with the car markers the OEM providers because from the OEM provider -- OEM's point of view it’s easier for them to understand the value proposition which provided by our dealer subscription business and we use a group volume mechanism we try to engage with those car makers and sign more paying dealers to our subscriber network.
Vivian Hao - Deutsche Bank: Okay, great. Thank you very much James. Thank you.
James Qin: Thank you.
Operator: Your next question comes from the line of Ella Ji from Oppenheimer. Please go ahead.
Ella Ji - Oppenheimer: For taking my questions, my first question is a follow up, so just want to discuss with you with regarding to the macro impact recently we’re seeing some volatility in China’s economic data. Just wonder where you speak with your auto marker or auto dealer customers what are their comments regarding their recent sales and if you can share with us some of their thoughts or expectations for the remainder of the year that will be very helpful.
James Qin: I might have to disappoint you because we’re closer to the auto online advertising business and because we’re just came back from China’s New Year so so-far I personally haven’t talked to any of the car dealers so although look out for our 2014. And so having said that I think we at Autohome we’re really insulating from some of the market headwinds because as we provide the, how should I say it, as we provide a clear value proposition of the services we offer to both dealers and car markers and we believe some of the market up and downs probably will not affect our business. And secondly as we believe China is still a very young and underpenetrated auto market. And ownership rate of cars is still relatively small compared with those other developed nations as well as developing markets. So believe there is still room for the auto market to grow in China. So hopefully those two points can answer some of your questions.
Ella Ji - Oppenheimer: Okay. And then my second question is in 4Q in auto advertising services so we’re seeing higher growth in auto markers that’s 73% but lower growth in dealer advertising that’s 26%. Can you explain why there is such a diversion between the two lines?
James Qin: Okay. So the way we see that business is the auto dealer advertising as well as the auto dealer subscription business, is part of way to monetize our transaction value. And so from the operational point of view probably is much easier to communicate with the dealers the value proposition of our subscription business, it’s very simple to understand. And also our key -- our strategy going forward is still to increase the penetration, also expand our plain dealer network. So probably in a sense you could say in the past what we have probably focused more on increased number of plain dealers rather than generate more revenue per dealer. So that could explain part of the difference between the dealer subscription revenue growth and dealer advertising revenue growth.
Ella Ji : Got it. And then my last question is with regarding to your margins. In 4Q, we’re seeing a higher number in sales and marketing and also G&A. just wondering if there is any seasonality relating to that? And could you also comment on your margins trend in 2014 given that you have quite a number of growth initiatives planned for this year. Thank you.
Oppenheimer: Got it. And then my last question is with regarding to your margins. In 4Q, we’re seeing a higher number in sales and marketing and also G&A. just wondering if there is any seasonality relating to that? And could you also comment on your margins trend in 2014 given that you have quite a number of growth initiatives planned for this year. Thank you.
 Nicholas Chong: So on your first question, the 2013 Q4 sales and marketing expenses went up is really behind two things. One is the November 11 promotion, and also of course we continued to add headcount on sales and marketing team. So that’s on sales and marketing. The other operating expenses that went up is actually product development rather than G&A. Product development went up also because we invested behind more to recruit more product development personnel, because as we highlighted what is really important to us is that we wanted to reinvest back into the business, particularly behind sales and marketing and product development. And G&A indeed has come down versus the prior year partly because of some of the one-time adjustments.
Ella Ji : Thank you Nicholas. Could you also comment on your expectations?
 Oppenheimer: Thank you Nicholas. Could you also comment on your expectations?
 Nicholas Chong: 2014?
Ella Ji : Yeah.
Oppenheimer: Yeah.
 Nicholas Chong: On 2014 actually directionally is still the same as what we have been dong in for example in 2013 and 2013 Q4. We want to reinvest back into the business on sales and marketing and product development. In fact probably more so in 2014, so that’s the plan.
James Qin: But I have to say that because we’re just a public listed company and most of our competitors will understand our financial results. So we foresee the competition in our sectors will be furious. So there could be some margin compression pressure. But I think as Nicholas said our intention is to maintain the margin in that level.
 Nicholas Chong: Well around that but James is right that we will see, we think we foresee there will be some more tougher competition.
Operator: Your next question comes from the line of Piyush Mubayi from Goldman Sachs. Please go ahead.
Piyush Mubayi - Goldman Sachs: Congratulations on a solid beat in fourth quarter. A few questions from me, first on the guidance you provided for 55.6% to 62.5% growth rate in first quarter. Could you provide a split between the dealer business and the advertising business please? And the second is that we’re seeing a steady improvement in ASP in the dealer business which appears to be double-digit now. What’s driving this acceleration and how would you expect this to trend to in the fourth quarter of ‘14. Third, I know you touched upon the used car market; could you give us an update on any progress you may have made on that front? And fourth, just thinking about all the noise and the developments around the financial services for Internet companies in China. Would you be willing to say anything about the outlook for you in car financing or the insurance arena please? Thank you.
James Qin: So that’s four questions. But thank you Piyush, if I understand correctly. The first one is the split between the dealer subscription business and the total advertising service revenue in fourth quarter of 2014. And the second question is the comment on the dealer subscription business in 2014 because from your point of view it looks like we accelerate the referrals how we achieve that? The third question is the used car market outlook of used car market, whether or not we can generate revenue from there. And the fourth question is car financing whether or not we should expect some car financing as part of our business? Those are the four questions. Thank you, Piyush. So I will probably leave the first question to Nicholas. I will try to address your second question. I think yes, it looks like at least from the 2013 point of view, we actually accelerate the claim dealer, we have more claim dealers in 2013 than 2012. I think the reason was, as I mentioned in the past, we leveraged our relationship [Audio Gap]. Roughly 50-50 split between the claim dealers which part of group volume mechanism with the car makers versus the individual dealers who subscribe our business. So, I think in-person what we have seen is the carmakers really behind this growth because they understand the value proposition of our paid dealer subscription business. The third question is the used car market, I think currently because China’s used car market is still in its very early stage and also because with the regulation, for example if an individual buys a used car from a dealer, together they have to pay 2.5% of tax to government. But if individual buys a used car from another individual nobody need to pay the 2.5% of the transact amount to the government. So, because the playing ground is not really leveled, so from our point of view it’s very difficult for Autohome to obtain meaningful revenue from the used car business in the near-term. However, I do said that, we firmly believe that used car business as well as the aftermarket services will be a world engine for Autohome going forward but not, probably not in the next two to three years. So, we keep investing in this area and right now we believe we have the largest, our che168.com which should be a used car focused portal is the largest user base and also has a largest page views at this point. The last question is about car financing. We have a very small team to do some trial and error things out here. So probably right now it’s too early for us to really comment on the outlook of that car financing business going forward. Maybe after couple of quarters I will be happy to answer your question because at that time we probably already have some result of whether or not we could win or we could not.
Nicholas Chong: Okay. Maybe touch on the first question. I think your question is that what is the color for the automaker services business, advertising business and that of the dealer business, I will say that we will be able to continue to grow faster than the market for the automaker advertising. And also the trend remains that we are able to, we continue to growth the dealer business much faster than the advertising business.
Operator: Your next question comes from the line of Evans Joe from Credit Suisse. Please go ahead.
Unidentified Analyst: Hi. This is Danny Cheng (Ph) calling on behalf of Evans Joe. First of all congratulation on the very strong quarter, I have three questions. My first question is on the e-commerce business, so in 2013 we have a pretty good success in the November 11 Auto E-commerce Event. So, how do you plant to execute in the direction to further penetrate into the auto transaction in 2014 and a year going forward? This is my first question. Second question is on the marketing spending in 2014 and we have seen that our competitors such as BYD Auto has a very large scale corporation with Baidu. So, how do we decide to compete with that, will we be more aggressive on the trust acquisition in 2014? And that’s my second question. My third question is on the dealers’ subscription side, so do we have a target paying subs number or paying ratio for paying dealers in 2014? Thank you.
James Qin: Okay, three questions. The first one is coming on the e-commerce because we did 2011, sorry November 11 car sales event. I think over there, probably I will make two comments, first is, the 2013 November 11 event is a path we have done in order to prove whether or not there was a market demand for that type of a business because as a leader in auto internet sector, I think we need to innovate. We need to try different business models in order to keep our growth and also maintain or strengthen our market leadership, so I think that phase was successful. Second comment would be in 2014 we’re going to try a variation of different eCommerce offerings in order to figure what is the best a commercial product or what is best a commercial viable service we can provide to both the dealers as well as to the auto users because there will be different scenario, for example, if a dealer wants to get rid of inventory we’ll have big incentive to really undercut the price; however, some of the user from some of user point view they actually will like to find readily available inventory, so there is a miss and match of different needs. I think our goal in 2014 is to try different ways to attract different needs and hopefully by the end of this year we can come up the right solution for the whole market. So that’s two comments for you eCommerce. The second one is about our market spending and with regard to BitAuto’s large in project, BitAuto’s large in project is a year-long contract signed with Baidu, so usually it starts from June to next year June, so this year the Baidu Corporation annual conference will be renewed in June. So this is really about the second half year margins spending. I think what I have to is that in the past basically and I’m not going to comment on BitAuto’s action what we have faced we’ve been allover I think have a very straighten analysis on return on management. We never have Baidu a lot of projects probably is not the something as we never participated in bidding of that project and that’s why if you can tell the difference because that is the bidding process. So every year at around May is opened bidding for any of the auto Internet player can bid for that yearly contact with Baidu. So for that that is only the comment I can give to you. So I think for this year, yes, we’re going to figure out what is the best IRF for Autohome and where we should we put our margin dollar to which segment. Where we evaluate both on PC platform as well as on mobile platform and figure out strategically what is the best way to use our margin dollars. And the third one is the number of paying dealers in 2014 and unfortunate we cannot comment on the numbers, but I think in the past what you have seen is, in 2013, I think we have add about -- 2012 about 3000, and 2013 is about 5000. So it looks like we’re adding more and more subscribers every year. So that’s my comment.
Operator: Your next question comes from the line of Gregory Chow from Citigroup. Please go ahead.
Gregory Chow - Citigroup: Congratulation on a strong quarter and thanks for taking my question. I have three questions and maybe I can go through my question one-by-one. My first question is about the eCommerce business. I think my first question is, do you any plan to launch commission-based eCommerce business this year? And by now I think our eCommerce business it served dealers, so in the future do you think we can avoid dealers and directly make some transactions with OEMs with the automakers? Thanks it is my first question?
James Qin: So, I’ll take the first question. I think the question is whether or not we can launch commission based business this year and also in the future, can we avoid dealers and direct dealing with OEM. The second part of the question I will share with you my thoughts. That is not the way we think about the business. I think at Autohome what we have been doing in the past is we always try to create value, create value for all participant in that value chain so with user with dealer with the automaker. And for example if we want to really innovate in this eCommerce business we will have to think about from the dealer point of view whether or not they’ll view this as a benefit or as a cost because at end of day it is dealers who really deliver the car as well as do the aftermarket service of the car. We do not have the mechanics. We cannot do the aftermarket services. I think our goal is to become the largest online auto transaction facilitator in China and that is our goal. So in short we will not - replaced the dealers, this is not our goal. Having said that if we can help the dealers to reduce their selling cost to reduce their inventory cost to reduce their rental cost that probably is the value we can create for them and in return I think we can take the car. So that’s the first one and I think the second one is that commission based business this year. As I mentioned previously, we’re going to do some small scale trial on different variations of ecommerce business so I do think by the end of this year we are able or we’re ready to launch a full commission based business it’s just not there yet. This year is just try and see the results and catch on hypothesis so that’s the first question.
Gregory Chow - Citigroup: Okay, thank you. And my second question is for the display advertising I think in 2013 our display advertising increased about over 50% year-on-year. And meanwhile we see for the traditional portals your advertising business seems more soft compared to our strong growth. So can you give me some color about what drive the revenue the display advertising revenue growth what percentage of contribution from uplift of pricing and what percentage from the inventory increase and also the increase in the sales rates? Thanks for taking my second question.
James Qin: All right. So with regard to the display ad, actually there are two segments one is the auto maker advertising the other one is the auto dealer advertising I think those two segments the fundamental drivers of the growth are very different the first one is automaker advertising I think from the auto market advertisings my demand point of view probably a base on the new car market for the margin dollar shift from offline to online and also how much market share we can how much share of what we can get from the car makers so that is sort of from demand side. From supply side this is that the price increase the growth come from price increase the sell through rate increase and also the banner or the inventory increase and over there we feel in general we should be able to deliver better than market average growth. So that is my comment on the OEM car maker advertising. On the other hand on the dealer advertising is a total different story because dealer advertising the rationale for dealer choose Autohome as advertising platform is not because we have the fast accounting we have the highest user engagement no is because we can generally sales in four of those dealers and we have them sell cars. So the rationale of auto dealers that was so the majority of the reason auto dealers pays us for auto advertising is different than auto makers. So the second one the growth really comes from how many transactions we can really help those dealers to facilitate and how much is their marketing dollar. So from the demand side is basically how dealer or together with auto makers really know sales officers because they control some of the dealer reimbursement program. How much is their budget and how they are going to allocate among different media platform vis-à-vis online versus offline. And from the supply side it’s really how many transaction in terms of market share how much is the percentage of total new car sales we can facilitate as a platform.
Gregory Chow - Citigroup: Okay, thank you. My third question is about our fast dealer coverage expansion and we know that when we sign some screen [Ph] contract with auto makers then to promote the contract with dealers nationwide. So if we look at those secondary agency dealers so that means we have some relative weak coverage of the secondary agency, I mean the [indiscernible]? Thanks
James Qin: I think your question is about from the customer point of view how we treat, how we deal the non-authorized dealer?
Gregory Chow - Citigroup: Yes. I mean rather than those four stories [ph], some general secondary dealers?
James Qin: So I think the way I see those two fold number one historically majority of our dealer business means dealer advertising and dealer subscription business we mainly deal with authorized dealers because that these are more reliable and it’s a better class to serve and also better to maintain the user experience as well as to make sure that someone is going to pay off at end of the day. The second part of my comment will be I really--we all understand there is this channel. How should I say this I mean at either tier-3, tier-4 cities there will be some non-authorized dealers which can also sell cars; we believe those should be our customers in the future. So probably that’s the two comments I can give. In the past, we never deal with that. Now we start to look at them and see whether or not there is opportunity we can modify, we can, want if trend.
Gregory Chow - Citigroup: And I have a follow-up question, as you mentioned that the Baidu bidding advertising system, as you mentioned may be potentially we will get involved in the bidding. So shall we for example in a module, shall we modeling in that part of expanding market it expands policy here or just our future plan?
James Qin: That’s a very good question, and to be honest we internally do not have an answer because this is either a zero or one day. But if I were you I would probably look at some other dealers because clearly I saw operating unit, we need to look at different channels. That way we probably would look at Baidu’s PC platform, 360 isn’t a pc platform, Baidu’s mobile platform, 360’s is mobile platform so some other like [indiscernible]. So some other applications for us. So we view everything and we make sure we understand the outline of each channel and we make sure we use our traffic acquisition marketing dollars wisely. That probably the way we see things. So whether or not -- in the end we will win, by Baidu Speed [indiscernible] now.
Operator: Your next question comes from the line of Eddie Leung from Merrill Lynch; please go ahead.
Eddie Leung - Merrill Lynch: Thank you for taking my question and many congratulations on a very successful IPO. I have three questions. The first one is about your strategy. You mentioned that you guys tend to take market share, so do you plan to rely on organic growth? What’s your attitude and thought on acquisitions? And then just a follow-up question on your cost in the first quarter; we have seen some increase in sales and marketing and R&D. So could you give us the number of sales headcounts and R&D headcounts by end of last year? And then finally for the New Year, did you raise your list price of some of your inventory.
James Qin: Sorry I didn’t get the third part of the question, the third question.
Eddie Leung - Merrill Lynch: The third question is about your list price for the New Year. Did you increase your pricing of your advertising inventory in 2014?
James Qin: I’ll answer that question before that was kind of simple so. Every year we increase our list price and we usually increase list price in April, so the first quarter because of Chinese New Year, so we use the same price as 2013. We are going to increase our price in 2014; that will be April 2014.
Nicholas Chong: I think, let me touch on the question that you have raised on the sales and marketing and product development. Actually, as I said in the earlier, we have continued to invest behind sales and marketing and product development. So last year in Q4 the sales and marketing expenses went up. It’s mainly because of our investment behind November 11, promotion. The second one is the critical increase on sales and marketing. And related to your question, and likewise on product development is because we invest behind more product development headcount. I think that’s one question that you asked about how many of headcounts, right; adding sales teams, the three sales team, the OEM sales, the dealer sales and the regional sales obviously make up about 50% of total income.
James Qin: So this gentleman’s first question starts the merger and acquisition aspect. I have outlined three -- we have four corner that we believe will allow us to sustain our leading position throughout the business and also increase the gap between us and our nearest competitor. And those as you see, those initiative to now at this point, includes trends for acquisition or some other important things like that. But that is a strategy that we’ll continue to evaluate on an ongoing basis with our advertiser as well as the board of directors.
Operator: Your next question comes from the line Jiong Shao from Macquarie Securities, please go ahead.
Jiong Shao - Macquarie Securities: I have a couple of questions if I may. Firstly, I feel you monetized primarily through brand advertising and dealer membership right now, could you talk about some of the longer term what was your previous model in terms of monetization and how you get from here to there.
James Qin: Okay, so currently the way we see business is that we have about four values we currently have, the first one is the media value, the media is sort of the first aggregation media like portals, the second value is really the channel value or transaction value via it we can really facilitate transactions and we can be part of the transaction based model. The third one is our user generated concept because we have the largest user community in China, currently the monetization of that traffic’s is relatively small. And the last one is the data analysis, because 47% of the auto users time spent online is Autohome, so we actually know a lot more about the auto consumers than any single other competitors in China. So I think those are the four values, so from here to how are we going to monetize every single one of them, I think the way we see things, from a media value, media value, the value we can create is basically the number of users we can cover on both PC and mobile platforms. Right of now we have the best of the quality in terms of both user generated content as well our professional generated content, right of now we have the best content. And thirdly, whether or not we provide the best of the class user experience so that user will have the highest engagement level in our site. So if we have those three things I think we do create a value for carmakers to use our website to advocate their customers with auto consumers in China, so that’s the first one. And second one is transaction matter, it’s very simple, how many transactions, what is the total business value we can facilitate and also more importantly what is the percent or how much total value of merchandise we can prove to customers we really facilitate. So for example there will be people like [indiscernible] who actually visit Autohome and figure out which car he wants to buy and directly goes into the dealers and buy that car. At this point the dealer will not credit that transaction to me, to Autohome because we cannot prove that. So hopefully going forward especially we can provide services through the mobile platform it’s much easier for us to prove. So the third one will be, the third one is the user generated [indiscernible]. And over there we actually monitor closely some other players in this industry how they can monetize the user generated content hopefully someone, some genius is going to invent that business model and then we’re going to learn from that. And lastly the data analytics currently we only provide those services to our major customers as a value added service. So we don’t know going forward how, when we, like, in what way we can really make it a commercial product. Every customer or every carmaker can buy from us and we’re definitely in the process of figuring that out. So those are the four values and in my personal point of view how we’re going to monetize that. What’s the roadmap?
Jiong Shao - Macquarie Securities: Thank you, and just a quick follow up, I think you mentioned earlier this year we should not expect anything big from the transactions sort of based monetization I just want to make sure is that correct and secondly you sold over 17,000 cars during November 11 appeared. Did you make any money off that and if yes how could you make any money off that, in the future how can you make money from…
James Qin: There’s a set of questions, very-very simple. No, we didn’t make money in the November 11 sales event, so the first question is are we going to have any commission based business. I think it’s very difficult because remember this, if you want to really get a commission business you have to number one, close the loop, you have to close the transaction loop and secondly is that you have to avoid the, how should I say, the credibility issue for example, if I say, if you say, for one transaction I will get RMB2000 from the dealer and then I will pay the consumer, say, RMB1000 and what if the dealer understands and tells that consumer directly, so why not I give you RMB1100 and please do not tell Autohome you actually buy it from us. So those kinds of things are easy to figure out outright.
Jiong Shao - Macquarie Securities: And could I have another quick follow up on topic, just for your brand advertising, do you base that on CPT or CPN basis and how is your pricing compared to the auto channels at the broader portals like Sohu and Sina.
James Qin: I would assume your CPT model is that CPT is cost per day because that is the general practice in our industry. I will say our advertising majority of our, auto maker advertising CPD or cost per day basis only a very limited percentage of that comes from CPN basis and having said that most of the car makers actually use the cars per clip KPI to evaluate the performance of each and every marketing campaign.
Nicholas Chong: Just thought I want to answer your second part of the listing price. So the list price of our banners, top banners probably that is the more comparable versus the portals. Our per day cost for top banner on our website is more expensive than the top banner of portals, Carchannel, but will be cheaper will be less expensive than the top banner of portals top page.
Jiong Shao - Macquarie Securities: Got it, okay now you resumed your brand advertising. Sort of what’s the mix between the time base say versus performance base on like click?
James Qin: As I mentioned to you, majority of the revenue from cost per day basis, the cost per click is only at KPI, this is not a contract we’ve signed, based on number of clicks the advertiser will pay how much money, this is not the way it works.
Jiong Shao - Macquarie Securities: Okay, sorry I missed that, okay thank you for that, my second question if I may is could you talk about how you compete or differentiate some of the I would say, sort of local services providers such as 58.com, I think they sort of pretty strong, they try to be pretty strong in some of the verticals as they all those in and the property and how do you think the investors allows you to compare and contract what do you offer versus what they offer.
James Qin: I actually don’t know 58.com’s revenue split and their business model very much but we primarily, every single dollar we generate as our net revenue from the new car business I am not sure if 58.com has the similar business probably I’m not aware of that. I think they have a used car business, on the other hand we do not generate any revenue from our used car business.
Operator: There are no further questions at this time, Mr. James Qin, please continue.
James Qin: Thank you very much for showing up today, as you can tell, it is only the second time for all of us at Autohome, and we’re optimistic about the prospect in our business. We look forward to updating you on our first quarter 2014 conference call in a few months time, but in the meantime please feel free to get in touch with us if you have further questions, concerns or comments, and thank you every one.
Nicholas Chong: Thank you.
Operator: That does conclude our comments for today. Thank you for participating, you may all disconnect.